Sebastian Veit - EVP, IR:
Jutta Donges - CFO:
Operator: Dear ladies and gentlemen, welcome to the Uniper Analyst and Investor Conference Call First Quarter Results 2025. At our customer's request, this conference will be recorded. As a reminder, all participants will be in a listen-only mode. [Operator Instructions] May I now hand you over to the Executive Vice President of Investor Relations, Sebastian Veit, who will start the meeting today? Please go ahead.
Sebastian Veit : Thank you, operator. Dear investors and analysts, good morning. I'm pleased to welcome you to our conference call on the first quarter results 2025. Next to me on today's call is Jutta Donges, our Chief Financial Officer; and Jutta will lead you through the presentation today. As usual, there will be a Q&A session after the presentation. And now let me hand over to Jutta Donges, please.
Jutta Donges : Thank you, Sebastian. I would also like to welcome you and wish you all a good morning. Let me start with the key financial highlights of the first quarter. As we expected, we had a slow start into the financial year 2025. When we presented our outlook for fiscal 2025 back in February, we already flagged a seasonal earnings pattern with strong back-end bias. The decline in earnings was affected by two major factors, which together led to adjusted EBITDA for the group of minus EUR139 million and an adjusted net income of minus EUR143 million in the first quarter of 2025. Firstly, Q1 of the previous year was still boosted by very strong hedging margins, above all in the flexible generation business and by the gas curtailment gains, which had a very positive extraordinary effect last year. And secondly, gas midstream margins were burdened by past optimization activities in the gas portfolio and with trials of high-priced inventory gas, which weighed on the results. Most of this negative impact has been absorbed already in the figures for the first quarter. I will follow up on this with some more detail shortly. For the full year 2025, we are fully on track to deliver on our 2025 outlook. For the Uniper Group, we confirmed the outlook for adjusted EBITDA in the range of EUR900 million to EUR1.3 billion and adjusted net income in the range of EUR250 million to EUR550 million. Our financial situation remains strong with an economic net cash position of EUR2.6 billion at the end of March. Even after fulfilling the EUR2.6 billion contractual recovery claims of the Federal Republic of Germany from the 2022 stabilization package in March 2025. This means that together with those EUR530 million payment in 2024 from realized claims for damages against Gazprom Export, we have paid back a total of EUR3.1 billion for the Federal Republic of Germany. We have continued to drive forward the strategic development of the group. A financial investment decision was made for the signing of new LNG long-term supply contracts. In the flexible generation business, our operations in Sweden, in the UK reported notable successes in the first quarter of 2025. In Sweden, we brought back into operation the 448 megawatt Oresundsverket at gas-fired power plant in March '25 at the request of the Swedish TSO for the security reserve for Southern Sweden. And in the UK, we were again successful in the regular T-4 capacity auction for the delivery years '28, '29. All our power plants with a total spare capacity of 4.4 gigawatts have been awarded a contract at remuneration price of GBP60 per kilowatt. This will correspond to an earnings contribution of about EUR300 million in this future period. Our UK power plant portfolio is an important earnings driver and earnings stabilizer for Uniper's non-wholesale result with an increasing contribution from the capacity market scheme. To ensure security of supply in times of shrinking amounts of dispatchable power generation, capacity market mechanisms are increasingly becoming an essential component of electricity market design in Central Europe. Therefore, the new German government's political plans to improve future system security by introducing a capacity market and implementing a new power plant strategy is heading into the right direction. Now over to the next slide, where I comment what Uniper can offer here. The new German government flagged to build up to 20 gigawatt of new gas-fired power plants by 2030, which should be aligned with the newly launched capacity market scheme. We also appreciate plans to adopt the legislative package for carbon capture and storage, including for gas-fired power plants, which could materially expand the scope for reducing German carbon emissions. We expect that the German government will now initiate a swift and pragmatic tendering process for the contraction of power plants with first tenders to be issued early 2026. Flexible Generation is core to Uniper's DNA, which reaches back more than a century. On the back of our long-standing experience and expertise, Uniper stands ready to become a strong contributor to implementing the power plant strategy and ensuring Germany's future energy supply. Uniper has the necessary financial resources, personnel and expertise to get large projects off the ground quickly. And as the map on this slide shows, Uniper has a number of excellent sites with existing infrastructure well integrated into the grid, above all in southwest of Germany, where future capacity additions will be essential. In terms of conventional power plant capacity, i.e., excluding solar PV and wind power, our market share is currently around 10%. And our ambition is to be part of the solution for the energy transformation in Germany and to keep our market share. Now let's move on to the next slide and the latest developments on the European gas market and the impact on Uniper. The European gas market remains challenging for all market players due to geopolitical tensions and unclear developments in European energy supply. Today's summer winter spreads are still not very attractive, and the outlook for a reviving gas demand is subdued at the back of a weak economic environment. High gas withdrawals in Europe, temporarily negative summer winter spreads during last winter and ongoing discussions around the right regulatory framework fuel uncertainty in the market, accompanied by factors like demand development or weather conditions. In this context, we welcome the decision by the German government from last week to lower the filling level requirements. And next, we expect also on EU level, a decision to create the necessary clarity. Our group outlook for fiscal year 2025 had already incorporated an exceptionally weak contribution from our gas midstream business. During our full year 2024 call back in February we flagged that Uniper's Q1 '25 results would turn out weak. At that point, the high withdrawals from Uniper storage facilities were already expected. As shown on this slide, Uniper's gas filling levels fell sharply and broadly in line with the market in the first quarter of 2025 from about 80% at the end of 2024 to 27% at the end of March 2025. Gas volumes now withdrawn from storages were stored at a time of high gas prices during the crisis years. And due to low storage turnover, substantial gas volumes were still in stock until the end of 2024. Hence, substantial gas deliveries during the peak winter season at the time of declining gas prices had a negative impact on Uniper's gas midstream business in the first quarter 2025. Gas deliveries in the first quarter also included gas-forward contracts with B2B customers that were already concluded during the crisis years and were also subject to procurement optimization in the past. For the remainder of fiscal year 2025, we expect LNG-related forward contracts in the gas midstream business to make a significant positive contribution to operating profit, which should cushion the losses recorded in the Greener Commodities segment in the first quarter. Overall, 2026 is expected to be the first fiscal year in which negative effects from crisis years will have been digested. Uniper's Gas Midstream business should then return to a more normalized business performance, which will be shaped by current market trends and strategic actions for the Greener Commodities segment. Developing a strong procurement and supply portfolio is essential for managing geopolitical disruptions. This includes a larger and more diversified international LNG portfolio. In mid-April 2025, Uniper signed two new LNG contracts with the Australian gas player, Woodside, each for around 14 terawatt hours per year supply until 2039 after already concluding pipeline gas supply agreements with ConocoPhillips and OMV just recently. As a better sourcing mix should also strengthen Uniper's gas sales entity to fulfill Uniper's role as one of the most important European gas suppliers with a B2B Germany cantered annual sales volume of up to 200 terawatt hours. And let us now turn to our quarterly figures in more detail on the following slides. As I mentioned at the beginning of this call and already flagged during our last call, we are starting the financial year 2025 with a very modest quarter and an unusual seasonal pattern, especially for the earnings of our gas midstream business that will be more back-end biased throughout this financial year. The adjusted EBITDA and the adjusted net income for the first quarter of 2025 came in significantly below prior year. We have informed the capital markets about these effects in an ad hoc release on April 24. The decline is due to a normalization of our earnings related to our power generation business because of less favorable commodity price developments and weaker power generation hedging compared to exceptional profit hype in '23 and 2024. In addition, the Greener Commodities segment is weighing on the bottom line due to a negative Gas Midstream result as a downside to the success achieved in optimizing the gas portfolio in previous quarters and overall higher gas acquisition costs with the withdrawal of highly priced gas volumes, as I already explained on the previous slide. Nevertheless, let me reiterate, these results are fully in line with our expectations. And accordingly, we are reaffirming our outlook for the full year 2025, which we published with the full year '24 figures back in February this year. On the following slides, I will discuss our figures and the respective drivers in more detail. Let's start with the adjusted EBITDA on the next slide. The reconciliation of adjusted EBITDA from Q1 2024 to Q1 2025 shows a significant year-on-year decline in earnings across all our segments, reflecting a normalization of Uniper's results after two exceptional financial years. Let's start with the segment, Greener Commodities, which posted an operating loss of EUR492 million for the first quarter of 2025. The decline in adjusted EBITDA of almost EUR490 million compared with the first quarter of the previous year is primarily attributable to the effects in the gas portfolio outlined above and the lapse of the gas curtailment gains, which amounted to about EUR140 million in the first quarter of 2024. And as already explained, looking ahead, Greener Commodities is expected to improve throughout the financial year and continue to normalize, coupled with a new strategic focus that is based on adding more long-term contracts to our portfolio with diversified counterparties and geographies to be less dependent on sourcing via the hub at market prices. Our flexible generation business achieved a satisfactory adjusted EBITDA of EUR161 million in the first quarter of '25, which is nevertheless well below the record results from the previous year. After benefiting from the very high spreads, which we had locked in, in the past, the decline in commodity prices and spreads for gas and coal-fired power generation is now reflected in our results, leading to a year-on-year decline of roughly EUR450 million in the first quarter 2025 versus first quarter of 2024. Next to a weaker power hedging results, Q1 was also burdened by lower earnings contributions due to a reduced fossil fuel power plant portfolio because of the decommissioning of Ratcliffe and Heyden and a transfer to the reserve of Staudinger 5, Scholven B, Scholven C coal-fired power plants as well as the sale of the Gönyu gas-fired power plant. The lower volumes were partially offset by higher demand at the British and Dutch power plants. With EUR246 million, the Green Generation segment made the largest positive contribution to our adjusted EBITDA result for the first quarter '25 and with a delta of minus EUR32 million was only slightly below the prior year level. Following a mild winter, water reservoirs in Sweden reached exceptionally high levels, leading to high water flows that have a bearish effect on power prices, especially in the northern region of Sweden. Accordingly, the price decline had a negative impact of almost EUR80 million on our outright business in Sweden. This effect was partially offset by an improved hydro result in Germany of more than EUR50 million, plus year-on-year on the back of favorable market developments in the first quarter '25. Despite a negative price trend in Sweden, our overall outlook for the Green Generation segment is positive. As announced in February, we are still convinced that we will achieve a higher result compared to last year as the fourth quarter in 2024 was negatively impacted by the changes of nuclear provisions that we do not expect to repeat this year. I would like to briefly mention the hedging figures in the appendix. Not much has changed compared to the last reporting for outer years '26 and '27. However, for this year '25, including the achieved prices and volumes of the first quarter, we are already 85% hedged in Germany and 75% hedged in Sweden at a price of EUR126 per megawatt hour and 38 hours per megawatt hour, respectively limiting the exposure to further decreasing prices due to high water inflows. Slide 8 now shows the reconciliation of adjusted EBITDA to adjusted net income for the first quarter of 2025. The key messages when looking at this slide are firstly, at EUR134 million, we have EUR20 million lower depreciation and amortization than in the first quarter of the previous year. This is due to the high impairments recorded mainly in our fossil fleet and gas storage facilities as well as the closure of plants in 2024, leading to a lower base for depreciation in 2025. And secondly, we have positive economic interest and other financial results of EUR89 million, which was significantly supported by interest effects on the valuation of long-term provisions, mainly for our hydropower business compared to the first quarter of the prior year. And thirdly, income tax on the operating result of EUR48 million corresponds to an operating tax rate of 26.4% for the first quarter of 2025. Now over to the operating cash flow on the next slide. Slide number nine shows the reconciliation of the adjusted EBITDA to the operating cash flow for the first quarter 2025. For the first three months of '25, the operating cash flow came in at minus EUR1.1 billion. As the waterfall chart clearly shows, the negative operating cash flow is driven significantly by the fulfillment of the payment obligations towards the Federal Republic of Germany. As publicly announced in March and highlighted during our last call, we had to repay almost EUR2.6 billion to the Federal Republic of Germany in accordance with the stabilization package for Uniper in 2024, which were settled in full on March 11 with a negative effect on the operating cash flow. This is partially offset by lower requirements for working capital, driven by less capital employed for stored gas volumes in line with higher withdrawals in the first quarter of '25 with a positive effect of almost EUR1.8 billion. Now on the next page, for the latest figures on Uniper's economic net debt. At the end of the first quarter of 2025, Uniper has an economic net cash position in the comfortable amount of almost EUR 2.6 billion, which came down from an economic net cash position of EUR3.4 billion at the end of the financial year 2024. This development is in line with the negative operating cash flow of minus EUR1.1 billion, which I explained on the previous slide. And beyond, we also made investments in the amount of EUR177 million and settled cash effective divestments, mainly for the gas-fired power plant Gonyu in the amount of EUR268 million during the first quarter. The other block mainly includes the change in asset retirement obligations and consolidation effects. Lastly, I would like to conclude my presentation today with a confirmation of the given outlook for fiscal year 2025 on Slide 11. We continue to expect a group adjusted EBITDA in the range of EUR900 million to EUR1.3 billion. For the group adjusted net income, we continue to anticipate a range of EUR250 million to EUR550 million. So let me briefly summarize. We had a modest start into the year, which is in line with our expectations, reflecting last impacts from the crisis 2022 and a normalization of our power businesses due to less favorable commodity price development. For the full year 2025, we confirm our previously published adjusted EBITDA and adjusted net income outlook. And with that, I hand over back to you, Sebastian, to kick off the Q&A session. Sebastian, please.
Sebastian Veit : Thank you, Jutta. And we can start the Q&A session now. Operator, I'm handing it over to you, please.
Operator: Thank you. [Operator Instructions] We do have our first question coming from the line of Ingo Becker with Kepler. Please go ahead.
Ingo Becker : Yes, thank you very much. Good morning. I have a question on your CapEx plans on Slide 4. Just to clarify, the 13 brownfield sites, I understand, are the same sites as the 13 gas ones you depict in the picture? Or is that different? The second question would be if you could update us on your CapEx plan. You were initially planning to spend EUR8 billion through 2030, which would, at the time, be roughly EUR1 billion per year. You've told us this is being delayed also because of the delayed Flex Gen investment opportunity in Germany and because of hydrogen. I was just wondering with what kind of investment figure should we work from here. And does the now ever more tangible prospect of investing in gas-fired generation in Germany lead to other investments that you may have initially planned to actually be less, and your overall of your CapEx budget, you might be looking to shift more into the German market. Thank you.
Jutta Donges : Good morning, Ingo, good to hear you. Thanks for your questions. On the first one, Page 4, where we mentioned the 13 sites and 13 gas-fired power stations. This map shows all our planned sites, not only the gas sites, but it's a coincidence that the 13 gas-fired power plants are aligned with the 13 sites, but this does not mean that every single site has one single gas-fired power plant. So I hope that clarifies that topic. On the CapEx plan, well, you summarized our CapEx plan actually very well, I must say. And we haven't communicated any change in our investment plan of the EUR8 billion. So this is still the basis. It's right that we reported half a year ago back in autumn last year that we see a delay and that we will spend the EUR8 billion not until the end of this decade, but into the earlier 20 30 years. You also mentioned the reason for Flex Gen delay and the overall delay in the picking up of the hydrogen market. With regards to gas-fired, we are actually looking into the situation right now with the announcement of the German government, the new German government that they are raising the ambition to build 20 gigawatts by the end of 2030. We are reflecting that in our ongoing strategy discussions. We have reported in the past that we have prepared ourselves and that we are ready to contribute. I repeated that today and I also said that our market share -- our intention is that the market share stays where it is so that means the ambition of the German government is higher that has an impact, and we are currently reviewing this, and this may also have an impact on how we allocate our CapEx. However, at this point in time, no more details on the CapEx plan for the next couple of years. I hope that helps.
Ingo Becker : Can I just briefly ask also the 10% market share means that of the 20 gigas, you are looking to take something like 2 gigawatts for -- as investment for you?
Jutta Donges : Yes, that is a fair assumption indeed.
Ingo Becker : Is it possible to tell how much that will cost? I mean, traditionally, we would have probably said it should be less than EUR2 billion, but depending on whether it's hydrogen-ready or not, it could also be more, right?
Jutta Donges : We don't want to comment on this at this point.
Ingo Becker : Okay, thank you.
Operator: [Operator Instructions] And your next question comes from the line of Louis Boujard with ODDO BHF. Please go ahead.
Louis Boujard : Yes, hi, good morning. And thanks for taking my question. Maybe a follow-up on the possible auction in Germany regarding the flexible generation in beginning of 2026, as you mentioned. I was wondering, you mentioned potentially 2 gigawatt targeted, but you have 5 sites identified plus a lot of different optionalities as well. What would make you eventually more confident in order to increase your market share in this flexible generation capacity auction, considering that most likely you have a lot of optionalities and potential to go beyond the 2 gigawatt equivalent to the 10% market share that you spot? What would you expect into the regulation for you to eventually be more confident on this respect? Maybe a second question regarding the potential re-IPO that is expected. Is there any alternative option that could be thought about more specifically regarding your current framework regarding the activities that you are managing at the moment? I'm thinking about the nuclear power plant and the hydro, which have also a right of first offer from some of your competitors. So is this something that you could eventually consider to eventually readjust your portfolio and refocus mostly in the German market at this point in time? Thank you very much.
Jutta Donges : Good morning, Louis. Good to hear you. I'll take the first question -- the second question first. There is no change in our plans. It is what we said before, just to reiterate, the Swedish portfolio is core to our strategy, and that is where we stand despite any comments or questions from other players in the market that have an eye on those assets. They belong to our core of our strategy. On the first question, what would help us to gain more confidence or to even increase our market share, well, let me reiterate, we only invest if we can earn money. So we do not have the clarity at this point in time how the auctions for the 20 gigawatt capacity build will look like. We don't know any details of the planned capacity market, how one will be transferred into the other and what that all means from a financial perspective. However, just to reiterate, we have the sites, we have the capabilities, we have the expertise. We are prepared. And then we are really eager to learn more about the financial conditions and look forward for more clarity on this from the German government. Do you have any follow-up question?
Louis Boujard: Thank you very much for clarification.
Jutta Donges : You’re welcome.
Operator: [Operator Instructions] And we do have a follow-up question coming from the line of Ingo Becker with Kepler Cheuvreux. Please go ahead.
Ingo Becker : Thank you. It's a rather general question given that the new government probably has two top priorities, migration and bringing the economy back to speed. I think most or even all parties had identified high energy cost of a major obstacle to the German economy. And if you look around in the sector with rising network investments, therefore, rising network costs, we have rising generation investments, including the Flex Gen strategy in gas, which will induce rising costs. I think the CDU is planning to onboard some of the costs for high energy intensive users to the state budget. But apparently most likely, there's going to be a limit to that. I'm just curious, do you have any view on how all this will play out? Because apparently, it is an obvious contradiction, right, to try to get cost for the industry and for the users down, while at the same time, if we look around, the costs are actually increasing in the sector. There's a mild backwardation in wholesale markets, which adds a little relief, but that's not going to be sufficient most likely so to offset the increases in overall system costs coming from the network side and coming from the generation side.
Jutta Donges : Well, I think, that is a fair question. And we are -- like probably you and others are looking forward to get more clarity on this from the German government. I think what is clear that there is a gap, the capacity gap. And therefore, just coming back to the previous point, we really welcome that the German government is now addressing this topic. What we also see that they are more open with regards to technologies. So that could help to not using the most expensive technologies. That would be one way to keep the costs down. But overall, I agree with you that there is a challenge. And well, as I said, we are looking forward to get more clarity on this as everybody else is. But we appreciate that the German government really takes a stance now on security of supply that this is important. It's important for the industry in Germany, but also with regards to the people living here. And therefore, we really welcome what they have put out in the coalition agreement. And then -- I mean, this obviously all depends on what is happening around us elsewhere. You just have realized over the last couple of weeks, the discussion around tariffs and trade policies and how that all works out has obviously a great impact on demand like everywhere in the globe, and this is all connected to each other. So this is not an easy solution for a very complex problem.
Ingo Becker : Okay, thanks so much.
Operator: Thank you. And there are no further questions at this time. I would like to turn the conference back to Sebastian Veit for further remarks.
Sebastian Veit: Thank you. And as we don't have any further questions at this point in time, obviously, the IR team will be available post this call. And the analysts and investors, we will conclude the call now. Thank you for listening in. We will look forward to our first half year results call in August, and I wish you a wonderful remainder of the day, and hope to see you and talk to you soon. Thank you very much.
Operator: Ladies and gentlemen, thank you for your attendance today. This call has been concluded. You may now disconnect.